Operator: Welcome to the Wireless Ronin Technologies second quarter 2009 earnings conference call. Just a quick reminder, this call is being recorded. And now at this time I'll turn things over to our host Ms. Linda Hofflander, Chief Marketing Officer. Please go ahead, ma'am.
Linda Hofflander: Thank you and welcome everyone to our 2009 second quarter conference call. With me today are James C. Granger (Jim), President and Chief Executive Officer and Darren McAreavey, Vice President and Chief Financial Officer. After brief comments from management, we will open up the call to your questions. Before we begin, please note that the information presented and discussed today includes forward-looking statements, which are made under the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Our actual results in future periods may differ materially and you should not attribute undue certainty to our forward-looking statements. Risk and uncertainties that could cause our actual results to differ from those expressed or implied by forward-looking statements, include those set forth in the Risk Factors section of the Form 10-Q we filed on May 8th, 2009. In addition, our comments may contain certain non-GAAP financial measures, including non-GAAP operating loss and non-GAAP gross margins. For additional information, including a reconciliation from GAAP results to non-GAAP measures, how the non-GAAP measures provide useful information and why we use non-GAAP measures, please see the reconciliation section of our press release which appears on our web site at www.wirelessronin.com. Now I'd like to turn the call over to Jim, who will discuss our second quarter results.
James Granger: Thank you, Linda. Good afternoon, everyone and thanks for joining us on today's call to discuss our 2009 second quarter results. Today, we will report not only on our results for the second quarter, but we will comment on our recently announced strategic partnership with NEC Display Solutions of America. From an operational perspective, we have continued to position the company for long-term success by making sure that our cost structure is aligned with market demand while at the same time investing in our core software. As a result, we continue to see our margins improve. While sales have been affected by the current economic climate, we continue to establish close relationships with existing key clients and engage new clients. We believe that these relationships will lead to significant opportunities in the future. As many companies can relate, the poor economic conditions we have faced continue to impact Wireless Ronin and more importantly, client buying decisions. In particular, the steep decline of the automotive industry has significantly impacted our second quarter of 2009 results. However, we view these circumstances as temporary obstacles and continue to push forward to further develop strong relationships in the automotive market in anticipation of the turnaround. Additionally, we are starting to see progress and signs of life within the digital signage industry in other vertical markets. We continue to make organizational changes so we are better positioned to take advantage of the opportunities in the digital signage market as the economy normalizes. Creating a long-term cost structure and market expansion with key clients continues to be the primary company goals, as well as our main focus. To create this long-term cost structure, we continue to align our infrastructure with current market demand and we further integrate the U.S. and Canadian offices. As a result, we are now a more efficient and cohesive organization. Because we have the right people in the right places working as one unified organization, we are starting to see the impact and benefit from the changes that have been made in previous quarters. One benefit in particular that you have already read about in our recent press release on August 3rd is the exciting agreement between NEC Display Solutions of America and Wireless Ronin. NEC will resell the fully customized hosted content management system, RoninCast software to its customers. This agreement allows NEC to address specific needs of current and future digital signage customers. The RoninCast software enables NEC to offer a solution for digital signage networks that require a robust customized solution. Before I get into too much detail on the impact of the organizational changes we have made and provide some color on the anticipated benefits of NEC, I would like to turn the call over to Darin for an update on the 2009 second quarter financial results. Following the quarterly results, I will expand on the NEC agreement, as well as highlight the sales and business development initiatives for the quarter. Darin?
Darin McAreavey: Thanks, Jim. Good afternoon. Today, we announced that our second quarter revenue totaled approximately $1 million compared to $1.6 million from the same quarter of the prior year. The 40% decline in revenues was primarily attributable to the collapse of the automobile industry, specifically Chrysler, who on May 1st, 2009 announced they have filed for Chapter 11 bankruptcy protection. During the second quarter of 2008, Chrysler and BBDO, an advertising agent for Chrysler, represented approximately $400,000 or 38% of our total revenues. This compares to less than $50,000 in the current quarter. In addition, we continue to shift to solution sales of software and services while being emphasizing hardware sales. This shift accounted for approximately $200,000 of the decline. During the first half of 2009, our revenue totaled $2.4 million compared to $3.5 million for the same period in the prior year. This represents a 32% decline over the same period in 2008. Our operations continue to be impacted by the global recession as most businesses are extending the timing of any large scale digital signage deployments. However, we remain confident that Wireless Ronin will be the vendor of choice when our current customers and prospects decide to proceed with the rolling out of digital signage solution. On a GAAP basis, our second quarter of 2009 net loss totaled $2.7 million or $0.18 per basis and diluted share compared to a loss of $5 million or $0.34 per basic and diluted share for the same period a year ago and down from our net loss of $2.9 million or $0.20 per basic and diluted share in the first quarter of 2009. The decrease on our net loss from the year-ago quarter was primarily attributable to the reduction in employee compensation and related expenditures that resulted from the workforce reduction initiative taken in during the third and fourth quarters of 2008 and other general cost cutting measures taken over the previous nine months. Although the company continues to focus on trying to identify opportunities to reduce the current level of spending, management believes any significant reduction beyond this point will compromise the support and service provided to our existing customers and operate the business. Excluding one-time expenses and non-cash charges, the second quarter 2009 non-GAAP operating loss totaled $2.1 million or $0.14 per basic and diluted share versus a non-GAAP operating loss of $4.1 million or $0.28 per basic and diluted share in the second quarter of 2008. Sequentially, our non-GAAP operating loss improved by approximately $200,000 or $0.02 per basic and diluted share. This was achieved on a sequential decline in quarterly revenues of approximately $500,000. Our non-GAAP operating loss for the first six months of 2009 totaled $4.5 million or $0.30 per basic and diluted share versus a non-GAAP operating loss of $7.8 million or $0.54 per basic and diluted share for the same period in the prior year. Gross margin for the second quarter of 2009 was approximately 23% as compared to 4% in the year-ago period and 19% in the first quarter of 2009. Gross margin improvement from the second quarter of 2008 compared to the current quarter was primarily the result of the cost reductions made in the third and fourth quarters of 2008. We look at our gross margins on a – if we look at our gross margins on a non-GAAP basis, which excludes the revenue and costs associated with our network operation center or NOC and other one-time charges, our second quarter of 2009 gross margin came in at 32%, which compares to 27% in the first quarter of 2009 and 20% from the second quarter of the prior year. As mentioned on the prior calls, we continue to look to improve our gross margin percentage throughout 2009, we will focus on selling software and services as hardware has traditionally held a lower gross margin percentage and negatively impacted the average gross margin of a project. Despite lower margins, that it is in the company's best interest to continue to serve select customers, preference for having a single source to provide them with software services and hardware. Total operating costs for the second quarter of 2009 were $2.9 million, down from $5.2 million in the second quarter of 2008 and $3.2 million from the previous quarter. The year-over-year decrease was primarily due to the reductions on both employee compensation or related expenses and the workforce reductions taken on the third and fourth quarters of 2008 and other cost reductions take over the previous nine months. Included in each of the first and second quarters' results of 2009 were severance charges of approximately $200,000 compared to $400,000 in the second quarter of 2008. Again, we believe that our current infrastructure has been sized appropriately to the current market demand and maximize operating margins while still providing best-in-class service to our client base. All else remaining equal, we do not anticipate any significant expense reductions as not to jeopardize current service levels. Rather, any further actions would be more from a fine-tuning perspective as the situation necessitates. As of August 6th, our headcount was 84 fulltime employees and contractors compared to 96 at the start of the year and 146 at the same time a year ago. Included in today's earnings release and finance results is a reconciliation between the GAAP and non-GAAP operating loss. This highlights one way in which we look at profitability and cash utilization for the company. It is similar to EBITDA, but adjusted for certain other one-time and non-cash items. This supplementary schedule details the items and effects of non-cash and one-time adjustments and shows the trend in costs – reduced costs and improvements in our non-GAAP operating loss for the quarter. Turning to the balance sheet, at the end of the second quarter of 2009, cash and cash equivalents in combination with restricted cash totaled $9.8 million compared to $11.7 million at the end of March, 2009 and $14 million at the start of the year. Our cash burn for the second quarter of 2009, which primarily funded our losses, was $1.8 million compared to $2.4 million in the first quarter of 2009. The current quarter burn, which included approximately $1.5 million of severance payments, now represents three consecutive quarters of improvement from the third quarter of 2008 in which it totaled $4.4 million. These decreases in cash burn are primarily due to the effect of reducing expenses, partially offset by other timing differences and changes to our working capital accounts. We continue to believe that our cash balances, combined with all cost reduction actions taken to decrease our cash burn have created a platform sufficient to fund our business into 2010. Our plan is to continue to match our operating expenses with revenues and adjusted plan based on actual sales and customer requirements. I now would like to summarize the financial results for the quarter as follows. We continued to show improvement in gross – profit margins of 23% in the second quarter of 2009 compared to 19% last quarter. This now represents four consecutive quarters of improving gross margins on a percentage basis. We continue to reduce our operating costs to $2.9 million in the second quarter of 2009 from $3.2 million last quarter. Continued reduction in our non-GAAP operating loss by approximately $200,000 from the previous quarter and lastly, reduced our quarterly cash burn to $1.8 million from $2.4 million in the first quarter of 2009, representing three consecutive quarters of improving cash utilization. Now, I'd like to turn the call back over to Jim before we open up the call for your questions.
James Granger: Thanks, Darin. As Darin has reported, the operational soundness of Wireless Ronin continues to improve. Our margins are up and our cash burn is down. The investments we have made in our world-class software are beginning to pay dividends as we can tell from our progress and perspective customer pilot market and lab testing, as well as current customers' evaluation of our existing software. Our focus on mission-critical applications in the digital signage area is clearly differentiating us in this emerging industry. Naturally, the overall economic downturn in the last half of 2008 and the first half of 2009 have impacted capital spending in general and digital signage deployments in our particular case. In addition, the complete meltdown of the automotive industry while the key issues of Chrysler and GM played out meant that one of our significant vertical markets was virtually nonexistent in the second quarter from a revenue perspective. Despite these obstacles, the second quarter may turn out to be one of the most significant for Wireless Ronin. We continue to perform successful deployments with our key customers. We are no reengaged with a reemerging automotive industry. We initiated relationships with several new customers with the potential for very large scale rollouts in the future and as noted in our press release earlier this week, we established a significant strategic partnership with NEC Display Solutions of America. We believe the agreement with NEC Display Solutions of America will substantially change our sales reach by extending our software into the hands of its sales personnel across the United States and Canada. Our years of successful collaborative customer work with NEC have brought us to the point where it is a logical progression to give their sales force access to RoninCast. Wireless Ronin and NEC have frequently worked together in the past, teaming up for projects such as Aramark, KFC and Thomson Reuters. Each has recognized the other's leadership position in the digital signage industry, which has progressed to a successful business relationship. This partnership solidifies that longstanding relationship and I believe it will continue to grow and lead the evolution of the digital signage marketplace. Not only have we expanded our sales force by partnering with NEC, but we have strengthened our direct sales force with two key hires as well. David Boerlin, our new Regional Vice President of Western region is an experienced professional whose previous position as Vice President, Sales at Delphi Display Systems provides him extensive industry knowledge. And Leo Bull, our new Regional Vice President, Eastern region joins us from his previous position at Avocent where he was Vice President of Sales. Leo brings an extensive background and an impressive sales growth track record in digital signage technology. Both Leo and David bring the type of education, experience and leadership skills needed to succeed in the digital signage industry. With these additions to our sales force, we expect to be able to expand our leadership position in the industry. In addition to these steps, in our last call, I also discussed the launch of Wireless Ronin's business development group and our alliance program, lead by Linda Hofflander, Chief Marketing Officer. Our alliance program was created as a way to extend our reach by identifying new sales opportunities for the delivery of Wireless Ronin's unique products and services. The program includes a variety of strategic partnerships with various industries from advertising agencies, design production, and fabrication firms. This network of alliances combined with WRT's approach to identifying opportunities and goal setting provides customers with the opportunity to create innovative and leading-edge solutions. To date, the program has generated leads and opportunities with major brands within the quick serve restaurant, retail, and hospitality industries. Alliance partners provide recommendations, personal introductions and direct customer contact to senior decision makers and key stakeholders. We feel strongly that nurturing this program will create a long-term and mutually beneficial relationship that delivers results. On Wednesday of this week, we announced our relationship with InVue, which is significant on two fronts. First of, InVue went through an extensive selection process to determine a digital signage platform to integrate with their industry-leading loss prevention technology. I would recommend visiting InVue's web site to get a complete perspective on their offerings and customer base. The selecting of RoninCast and our software development team to design and develop this software is another testimony that our abilities and technology are positioned as a leader in the industry. In addition, InVue sales team, like our NEC relationship, will enhance our sales reach. InVue's current client list is impressive with relationships including BestBuy, Sears, Bass Pro Shops and CVS. In June, we deployed the first fully operational system for InVue and the results have been very impressive. As I mentioned earlier, we reengaged with the automotive industry in the second quarter. The new Chrysler has initiated discussions regarding new work around the iShowroom effort that will offer a vision and a version of the iShowroom to dealerships later this fall. We are currently working with Chrysler on a web-based implementation as well. This is an important step. Like the vehicle information center previously deployed at Chrysler, a web-based desktop person can easily be implemented to a significant number of dealerships faster and more cost-effectively. In addition, we are working with a large automotive dealership group on a pilot of the RoninCast automotive platform, applicable to a wide range of car companies. In the second quarter, we continued to performed successful deployments with our key customers. Over the next couple of months, KFC will be developing and finalizing their marketing plans and budgets for 2010. As previously mentioned, we expect that digital menu boards will play an important role in its near and long-term marketing strategies. With the continued success of the grilled chicken and other new product launches, KFC is looking to differentiate itself from a product and technology perspective. In addition, satisfying the calorie information requirements is still a major initiative for KFC. We'll have a better understanding on how KFC will proceed after it's finalized its marketing strategies. As discussed on our last call, our relationship Aramark continues to thrive. During the quarter, we completed several installations including Greater Baltimore Medical Center and Doctors Community Hospital. We also completed two significant development projects fro Aramark including its online content management system and content for the interactive Burger Studio project. In the upcoming quarter we have been contracted to install seven additional universities with Burger Studio Kiosk and digital menu boards. We expect our Aramark pipeline to continue to grow both near and long term. In conclusion, we are encouraged by the accomplishments of the quarter despite the economic situation, which has impacted top line revenue. Our costs continue to down and our reduced burn rate has given us a longer run rate. We continue to make progress with key customers and now have an important strategic relationship with the strongest provider of digital signage hardware in the industry. We are very positive on the long-term prospects for Wireless Ronin. This concludes our prepared remarks and now, I would like to open up the call to your questions.
Operator: Thank you. (Operator instructions) And we'll pause for just a moment. We'll go first this afternoon to Jack Hain with Barrington Research.
Jack Hain – Barrington Research: Hi, good afternoon. Couple of questions.
James Granger: Hi, Jack.
Jack Hain – Barrington Research: First of all with Chrysler, you mentioned that you are in renewed talks with them to sort of bring them back onboard now that they've been restructured. Just wondering if you could add any commentary in terms of directionally what impact you think they are going to have in the third quarter given the dramatic follow-up of the second?
James Granger: I think they will be back as a somewhat significant, I don’t know how – I don't want to characterize because I – I do know the exact amount that we are talking about, but it will be a significant amount during the third quarter given the fact the projects that they currently have under consideration that we are working with them on.
Jack Hain – Barrington Research: Okay. And then, it seems like strategically you are looking rely on third party sales forces a bit more in the future. And I was just wondering if you could speak to how that affects your internal sales strategy. You seem to revamping by hiring the new regional sales managers. How does that affect, for instance, what verticals you are looking to get involved with the things of that nature?
James Granger: Well, Jack, it's a good question. Obviously, we have a relatively thin, small, if you would, direct sales force. And we have focused them primarily in the areas of QSR and the automotive as well as working with Thomson Reuters and then the branded retail. So to get beyond those, we certainly see the advantages. If you take a look at NEC for example, they are very strong in public space areas. Those are areas which we have not addressed. If you look at some of our alliance partners, they have a number of different areas where they bring new opportunities to us. So what I would say to you is that we obviously continue to focus on those areas which are strategic where mission-critical applications are absolutely key to us, but I do want to extend our sales reach and the NEC relationship, the alliance agreements, et cetera certainly does that for us.
Jack Hain – Barrington Research: Okay. And one last question sort of related to modeling. In terms of the gross margin on the hardware side, this is the first quarter I can recall where you actually had a negative gross margin on the hardware side. Is it going to improve or stay about the same or –?
Darin McAreavey: No, we should see – this is Darin McAreavey, the CFO. We should see an improvement. We actually had some inventory that we were just looking to liquidate that drove a negative, but you should see it normalize here in the third on going forward third quarter and going forward.
James Granger: That was truly an anomaly.
Darin McAreavey: Right.
Jack Hain – Barrington Research: Thanks for the questions.
Operator: And we'll go next now to Jay Meier with Feltl & Company.
Jay Meier – Feltl & Company: Yes, thanks. Curious to hear a little bit more on the NEC relationship. It seems – I’ve been thinking about that in terms of sort of inverting the prior relationship, right? You were reselling NEC screens and potentially other hardware into your deployments and now they are reselling yours. I mean, does you relationship still go two ways and assuming that it is inverted for a specific target region, could – does it imply a risk profile change on a transaction that could facilitate the more rapid adoption on that transaction?
James Granger: Well, I'd have to understand a bit more about that second part of the question, but I will simply say this regarding that relationship. This is the tip of the iceberg of our relationship with NEC. We see this as a strategic relationship that goes beyond us providing their product and them providing our product. I think there are – there is work being done at the NEC – in the NEC world, as well as in the digital signage world that are quite exciting around the combination of hardware and software to meet specific customer needs. And I first and foremost want to say that I'm proud to have been selected by NEC to be a partner from a software perspective. Yes, obviously it can get at other markets which we have not been able to get to and the answer is, it's truly more than just a – an inversion. We continue where need be. Some of our customers – as Darin remarked in his comments, some of our customers do want us to be a general contractor. We – when they want us to be a general contractor, we make sure we do this at a price that makes sense for us and them. But at the same time, with some of our customers we can work in a very strong partnership agreement where they might have an agreement with NEC and an agreement with us. And that works very well as well. So it opens up and completes a wide range of exciting opportunities for us and I think it will continue to get exciting going forward.
Jay Meier – Feltl & Company: Okay. Well, I – my question was a little bit difficult, I understand. So let me try and be a little bit more blunt in specific. It occurs to me that you – that Ronin is – remains a relatively small company, trying to sell to relatively large companies and relatively large companies that want to invest heavily in new technologies and when I mean heavily, I mean making very large investments in technologies. They look at these relationships from a risk aversion stance. They don't want to necessarily risk that there is a – could be a potential with the delivery of these types of contracts, large deployments. So does the fact that NEC could potentially be taking a prime contractor type of position from hereon now imply anything about the lower risk profile of potentially large deployments and could that be viewed as a reason for those deployments to move ahead faster?
James Granger: You are right. Certainly, we – but we are smaller in the sense of compared to a digital – to NEC, but we are larger in regards to most of the rest of the software providers in this industry. We are significantly larger than most of the other software companies in the industry. However, to your point, you are exactly right. When we go into a very and I am talking about very large potential customer, the fact that we go in, partnered with someone who is in effect saying, "Hey, we are in this together between us and Wireless Ronin and they bring the name and size of a NEC solution." Yes, it can make a difference and in fact, in conversations with customers, they obviously like this relationship and find it valuable, very large customers find that kind of a relationship valuable.
Jay Meier – Feltl & Company: But you want – are you willing to say that this could facilitate additional traction or even movement on some –?
James Granger: I'm saying basically, Jay, it already has.
Jay Meier – Feltl & Company: Okay. That’s more wonderful news. Okay. As far as – I think you talked on Chrysler, could you just clarify for me quickly? You do anticipate Chrysler generating some revenue for you in the third quarter?
James Granger: Absolutely.
Jay Meier – Feltl & Company: Okay. And is that – I mean, could you put that and quantify that relative to Chrysler's historic contributions on a quarterly basis?
James Granger: On a quarterly basis, I'm not sure they will be back up completely to where they have been in the past, but they will – I think they will contribute nicely.
Jay Meier – Feltl & Company: Contribute during this quarter?
James Granger: Yes.
Jay Meier – Feltl & Company: Okay. And as far as – we've talked about KFC in the past and YUM Brands and a – do you have – can you offer any type of – without speaking for that company, can you offer any type of insight about their capital budget cycle and planning process and when they might be capable internally of making a decision on a potentially large capital outlay for 2010?
James Granger: Well, it's always risky for me to speak for one of my great customers and they continue to be a great customer and we continue to roll out sites not as anymore – there is no more trials, there is no more testing and we just roll out sites, we rolled out some sites this – redo, but they are at literally during this early part of the month of August, they are in that capital budgeting cycle for what they want to do for all of 2010. So that is happening as we speak. I would like – I don’t want to – one of the things that this company has gotten trouble before is guaranteeing something was going to happen before it actually happened. But I can't tell you that – to answer your question, they are in that cycle right now and we are working with them providing the information that they require.
Jay Meier – Feltl & Company: Okay. That’s great. Thank you very much.
James Granger: Thanks, Jay.
Operator: (Operator instructions) We'll go next now to Dick Ryan with Dougherty.
Dick Ryan – Dougherty: Hi, good afternoon. A couple of revenue questions. In the service side, what's the number of screens you are monitoring and how much was the monitoring portion of that?
Darin McAreavey: Well, I actually got this in front of me. So we – we've got that broken down within services and other. There is about 100 and – well, approximately 146 of that was between the fees that we generate from the non-incremental software and maintenance revenue as well.
James Granger: And then the rest was custom software.
Darin McAreavey: Right. And then the rest was custom software.
James Granger: I don't have the screens in front of me right now.
Dick Ryan – Dougherty: Jim, I got a question on KFC. On the last call, you kind of indicated year-end (inaudible) too early Q3. Did any of that happen in the June quarter and/or is that kind of subject to their annual budget decisions or is that something independent?
James Granger: Yes, you broke up right in the middle of your question. Could you try again?
Dick Ryan – Dougherty: Yes. On the last call you talked about rolling out another city and potential city at KFC late Q2, early Q3. I was wondering if that happened. Do you have their – best part of their annual budget process decision making that they are in?
James Granger: What we've rolled out – in Q2 all we've rolled out are a number of reconfigure – what they call remodels or – and/or new stores and we have not rolled out that city and that city will be rolled out in the future.
Dick Ryan – Dougherty: Is that decision already been made independent of the (inaudible) budget meeting?
James Granger: I would tell you that I think that city would probably in advance of – but I don’t have the final – I mean, it's part of the discussion that’s going on right now.
Dick Ryan – Dougherty: And you mentioned something more universities at Aramark. I didn’t catch, was that put in Q2 or is that Q3 or Q4?
James Granger: Q3.
Dick Ryan – Dougherty: Okay. Those are all being Q3? Okay. What installs did you have in Q2 for Aramark?
James Granger: I do – I did mention and I don't – Scott is not in the room, but I did mention we did two hospitals, Doctors Hospital and also Greater Baltimore Medical Center.
Dick Ryan – Dougherty: Okay. With the new hires, should we anticipate continued progress being made on the OpEx line or has that kind of stabilized and maybe trend a little bit higher going forward?
James Granger: Well, I – we’ve taken a lot of cost out of the business. Now it's time for the top line to grow. We've invested a little bit now in the growth of that top line, investing in our alliance relationships, investing in the sales organization, strengthening the sales organization and certainly we are going to support what I believe – we went from having four or five sales guys to having 45 on Monday or 49 or whatever it is. So we are going to have to support that part of the sales organization. So right now, I'm not looking for dramatic, additional – as Darin mentioned in his presentation, dramatic additional cost take-ups. We'll take our cost where prudent, whenever it makes sense, but now we are just focused on executing on the top line.
Dick Ryan – Dougherty: Okay. So with Chrysler coming back a little bit and KFC, you'd look at Q2 revenue as being the low watermark for the year?
James Granger: Without a doubt.
Dick Ryan – Dougherty: Okay. Thanks, Jim. Thanks, Darin.
Darin McAreavey: Thanks.
Operator: (Operator instructions) We'll take a follow-up question now from Jay Meier.
Jay Meier – Feltl & Company: Two quick follow-up questions. First on the NEC deal, is there any exclusivity associated with that?
James Granger: Well, we are the only ones they are doing it with and you never use the – it's hard to use the word exclusivity because certainly there maybe a time when we want to use a screen that is specified by a customer. You know what I'm saying? But we are the only software company that they are dealing with in this regard.
Jay Meier – Feltl & Company: Okay. I'll take that as sort of a no.
James Granger: No. I mean, Jay, there isn't – and I think if you hang – and you understand the relationship as the relationship develops, it will become clear to you why I say that.
Jay Meier – Feltl & Company: Okay, I understand. And following on Dick's great question about the low watermark and your very comfortable and confident resounding "no" can you give us any color about what type of snapback you might expect?
James Granger: Well, we’ve tried not to do any kind of forward-looking statement in terms of guidance, but we do expect a snapback, yes. And that's just given the workflow and what we have in the thing – all that being said, as you know, every one of the – everything is tainted by this economy and we continue to struggle with the same CapEx spending issues that every other company who sells in this – in that kind of area have. That being said, given the deal flow, given what we are working on, yes, I expect a pretty nice snapback.
Jay Meier – Feltl & Company: Okay. You did about 1.4 in Q1. I mean, should we be thinking about a longer-term trajectory off of $963,000 in Q2 or what kind of – are we talking about a jump move potentially in Q3 or just kind of back to normalcy?
James Granger: We tried again not to give too much guidance in – direct guidance. I think that would be a lot of direct guidance. I just tell you that I think there is a – there is some great opportunity for us in the second half of this year.
Jay Meier – Feltl & Company: Okay. Fine, thank you.
Operator: We’ll go next now to Brian Coach [ph] with Tera Capital Management [ph].
Brian Coach – Tera Capital Management: Hi gentlemen, thank you for taking my question.
James Granger: Thank you, Brian.
Brian Coach – Tera Capital Management: Jim, just curious, you mentioned that NEC was the tip of the iceberg in terms of the current cross-selling relationship. Can you help me at all with a little bit more color what else that relationship might look like?
James Granger: At this point, I'm not at liberty to spend a lot of – there is going to be – I can just tell you that there will be continued development of that relationship. We will be working very closely with NEC's display solutions on a host of opportunities and as those become something that are announceable, we will certainly announce.
Brian Coach – Tera Capital Management: Okay. Well, congratulations on the relationship and I look forward to hearing from you guys as this grows.
James Granger: Obviously, I'm very proud to – that they have selected Wireless Ronin as a partner for the ventures that we are going forward now.
Brian Coach – Tera Capital Management: Congratulations, Jim.
Operator: We'll take our next question from Adam Peck with Heartland Fund.
Adam Peck – Heartland Fund: How are you doing, Jim?
James Granger: Hi, Adam.
Adam Peck – Heartland Fund: How many sales people do you have today with the two additions?
James Granger: We count them up, five.
Darin McAreavey: Five.
Adam Peck – Heartland Fund: Okay, five. And did you say you would be adding 45 with NEC?
James Granger: Well, that’s about right. That's the number of sales reps and then you have by extension beyond that you have all of their distributors. That's where Scott was this week. He was down training the key 45 and that included the people who work with their distributors.
Adam Peck – Heartland Fund: Well, they are fully trained today go out and sell?
James Granger: Yes. I mean, we did start the training. I'm going to need to support them. This is taking – this is a new area for their sales representatives and so – but yes, they are fully able today now to at least open the conversation and have some modicum of ability to have a conversation about these areas and then we support them obviously with people on the phone here that can help and if they need to have a sales person come out and help them close a deal, then we can do that.
Adam Peck – Heartland Fund: Well, what type of incremental cost would be incurred with this additional sales force?
James Granger: Well, right now I'm doing it with internal resources. As they tune up, then there maybe some additional costs and I would need to recognize that. The type of cost would be SE type people, Adam. So you know what I'm talking about people who are – yield SE term from the IBM there.
Adam Peck – Heartland Fund: But any dollar of sales would be accretive?
James Granger: Absolutely. Every penny. Absolutely.
Adam Peck – Heartland Fund: Okay. And they are 100% dedicated to Wireless Ronin?
James Granger: Yes, they are selling anybody else's software, nobody else's software.
Adam Peck – Heartland Fund: Okay.
James Granger: They might get in there and somebody has some software and they want to use their screen – buy some screens, but they are selling our software.
Adam Peck – Heartland Fund: Okay. Very good. Thank you very much.
Operator: We'll go next now to Paul Adolph [ph] with Avetar [ph].
Paul Adolph – Avetar: Hi, Jim. How are you doing?
James Granger: Good.
James Granger: A question. You – I think last quarter you mentioned that someone of your team is working with some of the ad agencies. Anything regarding that or am I off of that?
James Granger: No. We have had a couple of relationships that have lead to new opportunities for us. I – Linda, do you want to make any additional color?
Linda Hofflander: Sure. Sure, the alliance program that we have set up is a variety of different ways that we decide which partners we want and we'll go about reaching both secondary and (inaudible) verticals. But the agencies – some of the agencies that we work with are purely just strategic alliances and there is no – it's kind of defining the relationship, there is no (inaudible) or anything involved with that. Others have much deeper relationships with us and we partner and we go in together and they might be doing all of the content in addition to work. So the agencies are definitely getting on board, they are recognizing this kind of as a new and emerging media.
Paul Adolph – Avetar: I see. But is it – so any of the big agencies, are they showing any real interest in this side of the equation – division?
James Granger: Oh yes. Yes and one of those big agencies we are working with and they have worked very carefully – closely on a significant trial.
Paul Adolph – Avetar: Okay. But you are not naming it, right?
James Granger: No.
Paul Adolph – Avetar: Okay, okay. And I don’t know if you had mentioned in this conference call. Are there any new emerging markets that you see you guys targeting, anytime soon?
James Granger: Well, I mean – I – obviously for us, the – for us, the key market that we want to focus on is the QSR market because there are such enormous drivers. I don’t know if you had noticed. Recently, they – the meal and lean action, the Congress have come together under one piece of legislation, which says that it's going to start moving through and that’s going to start the requirement for nutritional information on the menu board and so obviously, we are focused from a strategic standpoint with our limited direct sales force on those areas. I see some other areas that are starting to evolved and pop for us as well – in terms of work that we are talking with people about and that’s in the – believe it or not, in the retail space, in the branded retail space. Some – that had kind of gone very cold during the first half of the year and now it has come back and is quite exciting. So I see that. What I can tell you is that the NEC folks and their – I mean, they dominate the public space, the airport kinds of opportunities, the public space arenas and things like that. So I think that's going to open up a whole bunch of new areas for us where we haven't had the sales force to go after.
Paul Adolph – Avetar: Okay. So you don’t (inaudible) 90-day cycle before you see things start to emanate or –?
James Granger: Yes. I mean, this – all these – these projects take a while. I mean, certainly there isn't – this is a capital expenditure for whoever is getting into it. And so, you have to realize that as you look at the speed with which people bring opportunities up, start with discussions, RPs, ROIs, all those other kinds of things and then you get into trials and you get into pilots and then you get into rollout. It's not a quick process, but certainly we've been working with NEC. And there maybe some that come quicker than that because we have had a relationship with NEC for sometime although not this kind of relationship where their sales people are incented to sell our product.
Paul Adolph – Avetar: Great. Thank you very much.
Operator: And we'll take our final question now from Dick Ryan.
Dick Ryan – Dougherty: Yes. Jim, just another question on NEC. You may have addressed it, but I’m not sure if I caught it. But if you look at from NEC's perspective, they are working with you on your key customers, KFC, I’m not sure if they are; they are with you on Thomson Reuters and Aramark, all three?
James Granger: Yes, I said that.
Dick Ryan – Dougherty: Okay. How would you classify their motivation? Is it driven from what they hear and see with your key customers or is it driven more on what they see in the rest of their pipeline of customers?
James Granger: Both. And there are other opportunities that they see for changing the nature of the digital signage industry that they are also – they are also appealing to work on in the coming months.
Dick Ryan – Dougherty: Okay. Have they developed or further advanced their outdoor signage capabilities? I mean, is that the move to where the warranties are, where they need to be at?
James Granger: Their new hybrid system that’s very attractive. It still – they still haven’t fully deployed it yet, but I can tell you, we are working with them on some really interesting outdoor stuff.
Dick Ryan – Dougherty: Okay. Thank you.
Operator: And we'll take a follow-up question from Jay Meier.
Jay Meier – Feltl & Company: This is a real quick one. The relationship with NEC, does that require any new engineering or development work for you? I mean, is there – is this – is there anything application-specific about this relationship that you guys haven't already addressed through your existing relationships?
James Granger: There is very strong potential for that.
Jay Meier – Feltl & Company: So if there is a – some new – something else that you are going to have to develop? I mean, you are not just talking about sales and – you are talking about real R&D work? I mean, should we start to think about that in terms of real addition to the R&D line item or how you expect that to pay for that?
James Granger: I would expect that it would be something that would be paid for by the partner.
Jay Meier – Feltl & Company: Okay. That works.
Operator: And we'll take a follow-up question now from Paul Adolph.
Paul Adolph – Avetar: Yes, hi, Jim.
James Granger: Hi, Paul.
Paul Adolph – Avetar: I know you are not giving any forward guidance but based upon what you have on your plate right now, I mean is it fair to assume within the next couple of quarters you could be cash flow positive or you just won't answer that question?
James Granger: I really never have answered that question. Do I believe we will be cash flow positive during the next year? Yes. But I haven't answered the question as to when that might be.
Paul Adolph – Avetar: So if you say during the next year, do you think that you have enough cash to cover your bases within that?
James Granger: I mean, we are sitting on $10 million. I've got cash burn now down if you look at it post the – when you look at it after you take out what we had to pay for severance, it's about $1.3 million. $1.3 million on the worst quarter revenue that you can imagine. Yes, we are in pretty good shape. That being said, you always want to make sure you have a strong balance sheet so that that question is off the table and if a customer comes along and wants you to acts as general contractor, you have to have a balance sheet to support that. So I'm very – I like where we are. That being said, you always look if there was an opportunity to strengthen the balance sheet, I might – I would take that.
Paul Adolph – Avetar: All right. Thank you very much.
Operator: And ladies and gentlemen, it appears we have no further question this afternoon. Linda, I'd like to turn the conference back to you for any closing comments.
Linda Hofflander: All right, thank you. I'd like to thank everyone for his or her participation on today's call. Please remember that today's call has been recorded and will be archived in the Investor Section of our web site at www.wirelessronin.com. Also, this call will be available for replay for a period of one month. Again the dial-in information from domestic and international locations can be found on our web site. Thank you and good-bye.
Operator: And again, that will conclude our conference call. We thank you all for joining us. Wish you all a great afternoon. Good-bye.